Operator: Good morning. My name is Thia, and I will be your conference operator today. At this time I would like to welcome everyone to the BlueLinx third quarter earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer period. (Operator instructions). As a reminder, ladies and gentlemen, this conference is being recorded today, November 5, 2009. I would like to introduce Mr. Russ Zukowski with Investor Relations. Mr. Zukowski, you may begin your conference.
Russ Zukowski: Thank you, operator, and welcome everyone to the BlueLinx Third Quarter 2009 Conference Call. With us this morning are George Judd, Chief Executive Officer; and Doug Goforth, Chief Financial Officer. Our press release was issued earlier this morning. For those of you who do not have a copy, it is available in the Investor Relations section of the Company's Web site, www.bluelinxco.com. Before starting the call I need to refer you to our Safe Harbor statement. I would like to remind everyone that on today's call management may make forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including all statements concerning future or unexpected events or results. Actual results could differ materially from those projected in the Company's forward-looking statements due to known and unknown risks and uncertainties. A discussion of factors that may affect future results is provided in the Company's filings with the Securities and Exchange Commission. BlueLinx undertakes no obligation to publicly update or advise any forward-looking statements contained in these presentations based on new information or otherwise except as required by law. With that requirement completed I'd like to remind our listeners that we have posted slides on our Web site. We will be referring to these slides during this call, and we encourage you to view them during our remarks. Additionally, the slide package contains an appendix of supplementary tables available for your review. Now, let me turn the call over to our Chief Financial Officer, Doug Goforth.
Doug Goforth: Good morning, everyone, and thank you for joining us today. For the third quarter of 2009 we reported a net loss of $13.5 million or a loss of $0.44 per share. Gross margin was 12.3% for the quarter, up from last year's 11.5% as a result of both an increase in specialty sales, proportion of our total sales and continued price discipline. This was the second highest quarterly rate generated by the Company since our inception. BlueLinx revenue from metal products is down over $66 million or 24% of the quarterly decline. And the gross profit generated from metal products is down over $8 million when compared to the year-ago quarter. During the quarter we used approximately $6 million in cash for operation and had $191 million in excess availability at the end of the quarter with a cash balance of $25 million. Our net debt was $299 million, down $76 million from the prior year quarter. Our reported after-tax results included a non-cash charge related to our ineffective interest rate swap of approximately $1.8 million or $0.06 per diluted share. On July 15, 2009, the Company reduced its borrowings under its revolving credit facility by $25 million, which resulted in a third quarter non-cash interest charge of approximately $1.8 million related to our ineffective interest rate swap. The Company used cash on hand to pay down this portion of its revolving credit debt. Turning to slide #5, overall sales for the third quarter ended October 3rd totaled $449 million, down 38% or $277 million from third quarter 2008. Specialty sales declined 31% from the same period last year, with the majority of the decline coming from lower unit volume. Structural product sales declined 45% primarily as a result of a 34% reduction in unit volumes and decreases in average price for the products. Specialty products comprised 56% of total sales, up from 51% in the third quarter of 2008. BlueLinx generated approximately $55.3 million in gross profit for the quarter. Gross margin was 12.3%, an increase over the first quarter and second quarter of this year and an increase over the 11.5% generated in the prior year quarter. Operating expenses for the quarter totaled $58.9 million for a decrease of $19.8 million or 25% from a year ago. The decline in operating expenses reflects decreases in payroll and payroll related costs of $11 million related to lower headcount, $3.3 million in restructuring costs, and approximately $2 million in lower fuel costs. The Company reported an operating loss for the third quarter of $3.6 million, compared to an operating profit of $4.5 million in the prior year period, reflecting the $27.9 million decline in gross profit, partially offset by the $19.8 million decrease in operating expense. Our third quarter net loss of $13.5 million or $0.44 per diluted share compares with a net loss of $2.6 million or $0.08 per diluted share in the third quarter of 2008. A reported net income for the period is after reported interest expense of $9.4 million, which includes the $1.4 million pretax non-cash charge associated with our interest rate swap, compared to interest expense of $8.8 million in the prior year period and is after-tax provision of $120,000 compared with a tax benefit of $1.7 million in the prior year period. Looking at year-to-date results on slide #6, sales for the nine months ended October 3rd totaled $1.28 billion, down 44% from the same period last year. Gross margin was 11.6%, declined from 11.8% in the year-ago period, which had benefited from a run up in underlying metal prices Year-to-date reported operating expenses declined 36% from the same period last year, generating an operating loss of $11.5 million, largely driven by the housing-related drop in demand. The year-to-date reported net loss of $73.5 million or $2.37 a share compares with a net loss of $6.6 million or $0.21 a year ago. The year-to-date loss was driven predominantly by the weak operating environment in which housing starts declined 43% and underlying structural product prices declined 20% from the year-ago period as well as the deferred tax asset valuation allowance of $40.2 million recorded in the first quarter of 2009 and other restructuring costs offset in part by the gain on the early cancellation of the master supply agreement with Georgia Pacific. Turning to cash flow on slide #7, during the quarter we used approximately $6.3 million in cash from operating activities, which compares to net cash generated by operations of $74.3 million in the third quarter of 2008. As we have discussed on prior earnings calls, we will continue to tightly manage our working capital items on an ongoing basis. However, we do not expect the levels of cash generated from working capital to be at the levels of paying during 2008. Cash used in financing activities was $22.4 million for the quarter, driven by a $25 million decrease in outstanding borrowings under our revolving credit facility and a $5.6 million increase in bank overdrafts. Year-to-date we used approximately $14 million of cash for operating activities compared to generating approximately $105 million of cash during the year-ago period. The year-to-date operating cash figure benefited by the reclassification of approximately $8.5 million cash used in financing activities, which was previously recorded in cash used in operating activities. Cash used in financing activities during the nine months of 2009 was $119 million driven by a $100 million decrease in outstanding borrowings under our revolving debt facility, a 3.2 million mortgage principle payment and a 4.7 million reduction in bank overdrafts. This compares to 48 million used in financing activities driven by a $28 million decrease in borrowing and a $15.4 million reduction in bank overdrafts for the similar year-ago period. The resulting cash balance at October 3rd was $25 million compared with $71 million a year ago and reflects our continued use of cash to reduce outstanding debt. During the year-to-date period we used cash on hand to pay down $100 million of outstanding debt on our revolving credit facility. Moving to slide #8, we had $191 million of excess availability under our revolving credit facility as of quarter-end. The combined debt balance on our mortgage and revolving credit agreement was $342 million, a decrease of $103 million from the fourth quarter of 2008 and down $109 million from a year ago. Net debt at the end of the third quarter was $299 million, compared to $285 million at the end of 2008 and was down $76 million from a year ago. Turning to slide #9, cash cycle days for the third quarter totaled 52 days. That compares with 53 days for the second quarter of 2009 and 52 days for the same period a year ago. While we continue to focus on tightly managing our accounts receivable portfolio and our credit approvals to ensure we are selling to customers who pay us in a timely manner, we are closely working together with our customers to continually evaluate and adjust credit terms as needed. Inventory days are consistent with the year-ago period; even as our specialty mix in inventory has increased from 65% to 71%. While we are tightly managing our inventory levels we are focused on ensuring we have the appropriate inventory levels to move that meet our customers’ needs and maintain our very high in-service and fill rates. Now let me turn the call over to George.
George Judd: Thank you, Doug. Good morning. Third quarter results shared by Doug continue to reflect difficult housing market in which we operate. Demand for building products did not significantly increase during the quarter. Our customers continue to consolidate inventory and store locations, as they continue to manage in this very difficult market. We have seen several local markets show signs of growth as housing starts have bottomed in those particular markets. However, I do not believe that the overall market will show growth in the next several months. Most third-party housing forecasts for 2010 show moderate growth with housing start forecast ranging from 650,000 starts to 900,000. As the building products market rebounds, BlueLinx will focus on increasing our share of that growing market. We have targeted growth initiatives in place now that focus on specific markets, specific products and specific customers. We will grow our share while maintaining our price discipline and maintaining our gross margin percentage. During the third quarter, our margins increased in spite of weak pricing markets for most of our structural products. We will continue to manage all costs, our inventories and our receivables very aggressively as the market begins to grow. We will expand our market share through our ongoing commitment to building strong alliances with strategic vendors and providing valuable service to our customers. We will utilize our extensive national logistics and warehousing capability to grow traditional building products business and explore opportunities outside of our traditional customers. For example, we're in the process right now of adding a national office supply company to our existing customer base. We continue to invest in IT to help better manage our assets. We announced earlier the installation of an integrated onboard computing and communication system for our entire fleet of trucks. This investment allows us to better serve our customers and reduce logistics expenses. BlueLinx has managed our expenses, our margins, and our cash effectively during this prolonged downturn. I look forward to carrying these disciplines into the growing market as the industry recovers. In summary, although the level of activity did not improve noticeably in the third quarter, I believe the worst is behind us. During the quarter we remain focused on our margins, on reducing outstanding borrowings and maintaining ample liquidity to execute our business strategy and started to shift our focus towards market share growth. I do want to thank our employees for their hard work and dedication throughout this cycle. I'm proud of the work they have done, and I appreciate their efforts to help BlueLinx achieve our objectives. I am confident that the Company is well positioned operationally and financially to prosper as the economy improves. With that I'd like to take the questions from the operator.
Operator: (Operator instructions). Our first question will come from Alex Ovshey with Goldman Sachs.
Alex Ovshey -- Goldman Sachs: Good morning. Just a question on the gross margins. You highlighted that they're above historical levels despite the weak bonds environment. Can you talk about operating leverage in the business and where you see the margins going as housing starts and bonds come back for BlueLinx?
Doug Goforth: Yes. Alex, as I mentioned, we're focused on maintaining that increasing margin percentage as the business comes back, but the margins are increasing due to the processes and the systems that we've invested in, in the previous couple of years. We've talked about those extensively. The abilities of our team to utilize those systems, to understand the true market, it's a local business and we need to make sure that we're competitive. We have reduced some volumes to customers and businesses and products that were marginally or unprofitable, and that has raised our blended margin. And then, quite honestly just the economic conditions where more of our business is out of warehouse and more of our orders are smaller. So we must raise our margins to serve those smaller order quantities. We need those disciplines as the business comes back.
Alex Ovshey -- Goldman Sachs: Okay. And in terms of mix, as housing begins to come back, where do you see the mix between the specialty and structural products falling out?
George Judd: We expect to continue to grow our specialty share to over 60% of our total revenues. However, I would expect that the structural business will come back in a revenue stream earlier. Prices are deflated. Price matters. As we talked about 20% price decline on our structural products in the quarter directly affects our revenue. As Doug mentioned, much of that was in steel, which was 50% decline for many of our steel products over previous year quarter. And as that price comes back it will skew some of our mixes. But our focus is still and will remain to focus on the product. But we add value to grow our specialty business at a higher rate than we grow our structural business.
Alex Ovshey -- Goldman Sachs: Okay. And just coming back to the metal product. What are the main end markets that your metal products go into? It's not just residential housing, correct?
Doug Goforth: Yes. No, that's correct. Thank you for asking that question. Large percentage of our steel products go to commercial construction. And as most of us know that segment is being particularly hard hit right now.
Alex Ovshey -- Goldman Sachs: And in terms of your outlook for that sort of end market, that's traditionally later cycle, so that probably comes back later than residential construction would come back. Would that be fair to think about it that way?
Doug Goforth: Yes. I believe it was 24 months behind the housing decline. And all things considered, I would expect it to be 24 months behind the housing cover.
Alex Ovshey -- Goldman Sachs: Okay. Thank you very much.
Doug Goforth: Thank you.
Operator: Our next question will come from Steve Chercover with D.A. Davidson.
Steve Chercover -- D.A. Davidson & Co.: Thanks. Good morning, everyone.
Doug Goforth: Good morning.
Steve Chercover -- D.A. Davidson & Co.: I guess I was also interested in the gross margin. But you believe that they will be sustainable because of the processes that you've implemented in systems as well, right?
Doug Goforth: Process and mix. The mix matter is as our specialty business continues to gain share of our total revenues that affects our gross margin. That's why we're focused on those products. We have many, many new specialty opportunities in the pipeline that we've been working on. They've been slow to develop, slower to develop than I would have liked, but in this marketplace understandable. And we expect those new product lines and revenue streams to continue to grow as housing comes back.
Steve Chercover -- D.A. Davidson & Co.: And you've indicated that you believe 2009 represents the trough, and it's your intention to grow market share. Will there be expenses associated with that, or is it due to attrition in your competitors and margins, you won't be buying it back with reduced margins, I guess you've just indicated. So can you give us a little bit of the strategy?
George Judd: Yes, thanks, Steve. We're not going to buy the business back. Thus my comments with specific products, specific customers, specific businesses, that's our targets. We're not out there just gaining share by adjusting our prices down. We're adding value, we're getting paid for that value, and we're starting to win. We're very, very focused right now on winning selected targeted programs in selected markets with selected products. And those products will allow us to better manage our margins above our historical levels
Steve Chercover -- D.A. Davidson & Co.: And can you talk about the competitive landscape? We know great number of your customers have probably gone away. How about your competitors?
George Judd: Certainly, far few of our competitors have gone away. There have been some announced closures and some closures in place today. But certainly not to the extent of the more than 500 customer locations that we've had consolidated to the downturn. The competitive landscape, it's tough out there. That's why we're particularly proud of our margin performance. There are people out there that are doing things that we would deem as being unprofitable. We haven't participated. It has cost us some revenue, but we're in business for the long-term, and we're going to make money and add value for our customers and get paid for the service.
Steve Chercover -- D.A. Davidson & Co.: Thank you. My final question at this point in time, you've done a great job paying down your outstanding debt. We know what your mortgage outstanding is. Have you had a recent appraisal of your real estate? Because one of the angles on BlueLinx might be just the hidden assets that are represented by the large number of facilities that you own free and clear.
Doug Goforth: Hi, Steve, this is Doug. No, we have not had a recent appraisal done, but we have sold several properties in the last year. In every case, I mean, it's been reported in our results the profit that we had compared to book value. And in addition to that, in every case, we sold those properties above our previous appraisal, which was done in the middle of 2006 when we put this mortgage in place. So we're being opportunistic when it comes to real estate properties. We will listen to any and all offers. And if it makes sense for us and it's above the levels that particularly the 2006 appraisal levels then we'll consider that.
Steve Chercover -- D.A. Davidson & Co.: So despite your reservations about commercial property, these are facilities which have been owned for 40 years, 50 years, I presume. They probably are very well located. Is that correct?
Doug Goforth: No. Some of them have been owned for 40 years or 50 years. Some of them are actually quite new. We did a lot of facilities in the 90s. But the thing we have going for our facilities is the rail access, in a lot of cases, close proximity to ports. And particularly some of the ports on the East Coast, et cetera, when they expand the Panama Canal over the next few years, we anticipate that that's going to help drive up value even more on some of those properties.
Steve Chercover -- D.A. Davidson & Co.: Good. Thanks for taking my questions.
George Judd: Thank you.
Operator: (Operator instructions). At this time there are no further questions. I'd like to turn the conference back over to Mr. Zukowski for any closing remarks.
George Judd: Hi, this is George Judd. And thank you all for joining us. And we look forward to talking to you next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference call. You may now disconnect.